Operator: Good day, and thank you for standing by. Welcome to the BellRing Brands first Quarter Fiscal Year 2026 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I'd now like to hand the conference over to your speaker today, Jennifer Meyer, Investor Relations for BellRing Brands. Please go ahead.
Jennifer Meyer: Good morning, and thank you for joining us today for BellRing Brands First Quarter Fiscal 2026 Earnings Call. With me today are Dorothy Davenport, our president and CEO, and Paul Rode, our CFO. Dorothy and Paul will begin with prepared remarks. And afterwards, we'll have a brief question and answer session. The press release and supplemental slide presentation that supports these remarks are posted on our website in both the Investor Relations and the SEC filings section at bellring.com. In addition, the release and slides are available on the SEC's website. Before we continue, I would like to remind you that this call will contain forward-looking statements which are subject to risks and uncertainties that should be carefully considered by investors as actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call, and management undertakes no obligation to update these statements. As a reminder, this call is being recorded. An audio replay will be available on our website. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, see our press release issued today and posted on our website. With that, I will turn the call over to Darcy.
Darcy Horn Davenport: Thanks, Jennifer, and thank you all for joining us this morning. First quarter delivered a solid foundation for the year. As we continue to execute our plans. Results were ahead of our expectations with favorability, primarily driven by the timing of customer orders. The RTD shake category remains healthy. And Premier continues to hold a leadership position with 22% market share and best-in-class household penetration, brand equity scores, and repeat rates. Today, we have narrowed our range of our 2026 net sales guidance to between 4-6% growth. While much of our key selling periods remain ahead, we have observed more frequent promotional events from Insurgent Brands than expected. As a result, we have appropriately factored this into Premier consumption trends in our balance of year outlook. We are continuing to execute on our strategies of growing distribution, increasing brand investments, and launching innovation, which are progressing as planned. Many of these initiatives are ramping up, and are starting to positively impact consumption. We were encouraged by the growth in consumption during January, up 6% in all channels, and 16% excluding club. We expect Q2 premier consumption to be generally in line with net sales and expect these growth strategies to be more meaningful contributors to growth in the second half of the year. As Paul will discuss in more detail, we have updated adjusted EBITDA guidance to $425 to $440 million. This range incorporates our updated sales outlook and the impact of higher whey costs on our powder business. Turning to our category. We continue to expect RTD shake category growth in the high single digits for 2026, primarily driven by volume. In the medium to long term, we expect more marketing spend, expanded shelf space, innovation, and the mainstreaming and affordability of GLP-1s to drive higher household penetration and category growth. Retailers are fully behind the category and are increasing category space, testing higher traffic aisle locations, and expanding display space to capture growing consumer demand. As I discussed on our last call, the success of the category has attracted competition. As insurgent brands work to establish themselves in the market, we expected promotional spending would increase. However, as I briefly mentioned earlier, year to date, the number of events is tracking modestly ahead of our initial expectations. Over the longer term, we continue to expect retailers to consolidate the shelf behind a handful of the best-performing brands and move them to more heavily trafficked aisles. We remain confident in our ability to continue leading the category. Though we anticipate some near-term transitional impacts, on these competitive dynamics play until these competitive dynamics play out. We believe that mainstream appeal, high repeat rates, and execution capabilities will determine the long-term winners. Turning to our first quarter performance. I'd like to highlight that our supplemental presentation and corresponding metrics now reflect a change in category definition from convenient nutrition to wellness. With The US category size increasing to $24 billion from $21 billion. The broader definition includes the same brands and products as our historical category along with additional products that our research shows consumers consider in the category. This change does not impact any of our previously reported tracked consumption or household penetration metrics. The wellness category grew 7% in Q1, and RTD shakes also up 7% with growth driven by volume. Premier RTD shake consumption was down 2% in the quarter. Lapping 23% consumption growth in the '25. Which included very strong club consumption with the smallest number of new brand entrants and a nonrecovery promotion. Consumption outside of club was strong, up 11% in the quarter. Premier Q1 consumption growth came in slightly below our prior outlook of flat. Primarily due to the timing delays in activating promotional display at a mass retailer. As well as a modest impact from greater than expected promotional activity by Insurgent Brands. First quarter net sales increased 1% with Premier net sales down 1% and Dymatize net sales up 6%. On strong international growth. Paul will go into more detail in the quarter. Later. Now I'll provide a review of our operating plans, which will continue to provide momentum as we progress through the year. We are on track with our plans. To, one, continue growing our distribution both in and out of the aisle, two, increase advertising investment while elevating its impact. And three, launch innovation that provides consumer excitement adds occasion, and drives trial. Distribution both in and out of the aisle is a major opportunity. Starting with CLEV, we launched new products and formats as well as increasing sampling, and promotional spending. Which is expected to improve our performance in this channel as we move through the year. Our premier shake TDPs increased at strong double-digit rates in fiscal 2025. Primarily driven by mass, food, drug, and e-commerce channel. And we remain on track to expand at similar levels in '26. We're encouraged by the early performance with our new broker and internal retail sales team. In particular, our sales of single bottles have more than doubled in January. Effectively increasing trial. Our improved store activations are already meaningfully impacting our FDM channel results. With strong share increases in feature and display. In late Q1, we launched a partnership with a major mass retailer, which included extensive displays and end caps across pharmacy and grocery aisles. And the first launch of our coffee house shake innovation. Due to the timing of the retailer's holiday merchandise transition, program execution was modestly delayed. Our programming is now fully in place and we are seeing strong double-digit consumption growth as traction builds. We're also encouraged by the early performance of Coffee House. Where caramel macchiato is one of the highest, velocity four counts in January. Our second priority is advertising. We saw a strong return on investment in fiscal 2025 and have decided to further invest and elevate our creative in '26. Our go get them campaign was launched in late December and is designed to drive household penetration, strengthen emotional connections, and bring fresh energy and relevance to the premier brand. Premier Protein has always been a brand that celebrates the everyday go-getters. Not just those who work hard in the gym, but those who work seriously hard in life. As the original mainstream RTD brand, this campaign is perfectly positioned to bring in new households as the category continues to mainstream. This omnichannel campaign was developed with a new agency and runs across linear TV, streaming, podcast, and social as well as retail media and out-of-home locations, including gyms. Go Get them has tested better than any other prior campaign, and we expect it to drive further awareness and conversion as we move through the year. Turning to innovation. In '26, we are intensifying our focus on innovation across flavors, formats, consumer segments, and occasions. To expand shake occasions, last year, we kicked off the year our indulgence line. And this year, our new year, new you focus is on our new coffee house line. Coffee house meets the protein and energy consumer need with 30 grams protein and a caffeine equivalent of one cup of coffee and targets a sweeter taste palette. Versus our core cafe latte shake. Earlier early results are promising, and we're excited about the added adding a coffee house variety pack in bottles as an incremental item at a club retailer later this month. Premier is known for its flavor innovation. We will continue to bring flavor excitement to the category throughout the year. Our LTO strategy remains highly successful with winter mint chocolate performing at the top tier tile. In January, we launched strawberry powder, and in our third quarter, we will offer an exciting new seasonal shake flavor. Lastly, I'm pleased to announce that we have two new shake lines, we two new lines we are readying for launch in the second half. The first line a continuation of our strategy to expand our portfolio across protein levels. In addition to minis, which provides a smaller size product, with lower protein levels that are perfect for snacking, we will launch a product with higher protein for those consumers looking for more protein in their ready-to-drink shake. I'm especially excited about our second line launching late in the year. It offers consumers a completely different drinking experience versus our core products. It tested well above industry benchmarks and targets both incremental consumers and incremental occasions. In closing, the first quarter was a solid foundation for the year, and consumption is ramping up. We have conviction around the category, the strength of our brands, and our demand drivers. Premier remains the number one brand with record high household penetration and repeat rates. We have deep under deep expertise in one of the fastest growing categories in retail and continue to expect strong category growth. We are investing in our brands, sharpening our execution and innovation plans, and driving savings our savings agenda to deliver our '26 outlook. Our operating plans are on track. And we continue to expect an acceleration in growth in the balance of year. I remain highly confident in our future and our ability to create sustained long-term value for shareholders. Before turning the call over to Paul, I wanna discuss the leadership transition plan we announced this morning. As you saw from this announcement, I've decided to retire. From my role as president and chief executive officer later this year. Transition will take place on or before the end of our fiscal year on September. The BellRing board of directors has started a national external search to identify the company's next CEO. I remain fully committed to helping BellRing Brands achieve its full potential. Following the appointment of our new CEO, I will serve in an advisory role to ensure a smooth transition of leadership responsibility to provide strategic support to the company. Incredibly proud of all that we have achieved during my time with the company. And the road map we have established in the future. It has been an unbelievable ride. Seventeen years ago, I joined a privately held company with approximately $20 million in sales. Today, we are publicly traded, global $2.3 billion business with significant runway still ahead of us. While the growth is remarkable, what I'm most proud of is the culture we have built along the way A special thank you to all of our employees. Who put their hearts and souls in our purpose every day. Changing lives with good energy. The foundation of BellRing is strong, and I look forward to helping the board and the company's new CEO advance toward its next chapter of growth. You for your interest in the company. I will now turn the call over to Paul.
Paul Rode: Thanks, Darcy, and good morning, everyone. Total BellRing net sales for the quarter were $537 million, up 1% over a year. We delivered adjusted EBITDA of $90 million at a margin of 16.8%. First quarter net sales were ahead of our expectations of down 5% driven by a timing benefit from customer orders that we previously expected in the second quarter and some upside at Dymatize. Adjusted EBITDA was ahead of our guidance on higher sales and SG&A leverage. Premier Protein net sales were down 1% with RTD shake net sales down 2%. Dymatize sales increased 16% driven by strong volume performance particularly in international. Q1 is our toughest comparison As we noted on our last earnings call, of the year in the club channel where we lapped a period with fewer new entrants, and chose not to repeat promotions for Premier and Dymatize. Gross profit was $161 million, with gross profit margin of 29.9%. Excluding mark to market adjustments on commodity hedges, adjusted gross margin declined 730 basis points. The decline was expected and driven by mid single digit input cost inflation unfavorable mix, and lapping of $5 million of nonrecurring cost favorability in the prior year. We expect whey protein inflation for the remainder of the year while headwinds on our RTD shake milk proteins will moderate in the 75 basis points on our gross margins in the quarter. SG&A expenses were $78 million at 14.5% of sales versus 15% of sales in the prior year quarter. Before reviewing our outlook, I'd like to make a few comments on cash flow and liquidity. As expected, the first quarter was a modest use of cash in line with our typical seasonality. We ended the quarter at net leverage of 2.5 times. We continue to return cash to shareholders through share repurchases, with $97 million repurchased in the first quarter. Turning to our 2026 outlook. We now expect net sales of $2.41 billion to $2.46 billion which represents 4% to 6% growth. Adjusted EBITDA is expected to be $425 million to $440 million with a margin of approximately 18%. Our guidance reflects our updated consumption outlook for Premier and some upside from Dymatize. We now expect Premier Protein net sales to grow mid single digits at the midpoint. In addition to healthy category tailwinds, distribution gains including innovation and increased brand investment are expected to lift sales growth starting in the second quarter with a more meaningful impact the second half of the year. Volume performance is expected to be partially offset by a low single digit headwind from promotional investment. We now expect modest growth in sales for the rest of the portfolio. For Dymatize, we have executed additional pricing actions to offset meaningful whey protein inflation and have prudently modeled in elasticities, which we expect to impact the second half of the year. Our updated adjusted EBITDA guidance of $425 million to $440 million incorporates sales outlook, embeds a slight mix shift towards the lower margin 300 basis points year over year at the midpoint, with lower adjusted gross margins the primary driver. The gross margin decline reflects significant input cost inflation, the introduction of tariff costs and the increased trade promotional investment. Tariffs are expected to have an unfavorable impact of 80 basis points on our full year gross margins. The remaining EBITDA margin impact is primarily due to increased which is partially offset by other SG&A leverage. We continue to expect advertising as a percentage of sales of approximately 4% with the largest year over year dollar increases in Q2 and Q3. For the second quarter, we expect net sales growth of 3% to 4% similar growth for both Premier and Dymatize. Consistent with the first quarter, second quarter EBITDA margins reflect significant commodity cost inflation and tariffs as well as higher planned advertising investment. These factors, along with the timing shift of sales into the first quarter now result in a second quarter adjusted EBITDA margin of approximately 13%. Our first half adjusted EBITDA margin is expected to be approximately 15% largely in line with prior expectations with significant sequential margin improvement expected in the second half. Specifically in the second half, our sales growth and cost savings accelerate. Dymatize becomes a smaller portion of our sales mix and we expect significantly higher SG&A leverage. In closing, we are executing our operating initiatives as planned expect the investments we are making in our brands this year to bolster our long-term position. Our business is highly cash generative, and we have a solid balance sheet, which positions us well to fund growth initiatives while continuing to repurchase shares opportunistically. I will now turn it over to the operator for questions.
Operator: Press 11 on your telephone and wait for your name to be announced. Our first question comes from Andrew Lazar with Barclays.
Andrew Lazar: Great. Thanks very much. Good morning, everybody.
Darcy Horn Davenport: Good morning. Hi.
Andrew Lazar: I guess, Darcy and Paul, guess my my one question would be the the main hope for the mass merchandiser test you talked about. Is to sort of just further prove that Premier Protein and and ready to drink shakes in general sort of belong you know, outside the pharmacy section, deserve greater points of disruption in the store. In those, I guess, stores where the execution of this test is in full swing, Maybe you could go into a little bit deeper. What sort of results are you seeing? And are they such that I think, if I'm not mistaken, this was supposed to be sort of a three month sort of test. There a possibility that based on the results you see that this gets extended? Or somehow changes the way Premier Protein is merchandised in either that store or others going forward, give me you'll have some proof points for it.
Darcy Horn Davenport: Thanks, Andrew. Yeah. The the program is performing very well. So we absolutely internally view this as a success and something that we want to bring to others First of all, bring to that same retailer later in the year, but also bring to other food drug mass customers and show the impact that they can have on their category and on our business. We're seeing record weekly sales on the rollback items, January was our largest month ever. At this retail I mean, just a shout out to our team. They're doing an amazing job with execution. And when I say our team, the broader team, we have an internal activation team that I talked about in prior calls as well as a new broker, and, you know, they're in the stores all the time. And it it's working. So I think, you know, we had we had we have good learnings. This was really our first major kind of program. If you think of I mean, right now, we have you know, up to it depends store to store, but we could have up to kind of seven displays throughout the store. Obviously, some are in testing, some are in fewer markets. But it is we have really good learnings that we can now apply to other customers. So, yeah, thanks for the question. It's it's we're really pleased with the results.
Andrew Lazar: Okay. Great. Thank you.
Operator: Our next question comes from Megan Klap with Morgan Stanley.
Megan Christine Alexander: Hi, good morning. Thanks so much. Wanted to ask a little bit about the consumption. Darcy, last quarter, you talked about an expectation that December consumption for Premier would accelerate to low double digits, and that would continue into January. I think you noted in the prepared remarks that some of the timing of the mass retailer partnerships was was the primary driver of Premier being slightly below. But it seems like into January, the the consumption's still running a bit below what you would had expected. So you just help us understand a little bit more of know, is that primary just what's going on primarily what's going on in the club channel You know, maybe some of the weaknesses persisted a bit longer than you expected on the on the the promotional intensity into January. And just help us understand kind of what's what's embedded into the the balance of the year for that channel in particular and maybe you can touch on just the expanded, sets as well and and how that's factored in. Thank you. Perfect. Okay, so yes, two main reasons that we so Premier shake consumption was down 2% in Q1, and we we modeled, and I predicted it would be flat. So two main reasons. One was what you talked about, which slightly we were slightly below the guide because of the time the timing delay. In setting up that mass promo. And then there's a second piece. Which is we start and I talked about it in my remarks. But we saw a small impact from increased frequency of events from insurgent brands, and that was mainly in club, but also some in mass as well. So part of bringing down our know, narrowing our guide a couple points, basically taking the top end off the guidance was we are flowing we're assuming that level of kind of frequency of events, promotion, throughout the rest of the year. So that is and that is, you know, affecting kind of some of the January consumption that you're seeing too. What I will say is and I think you guys are seeing it as well. The consumption is improving. So I think that although we kinda had a little bit of a late start than we expected, lots of learnings there, but we're starting to see a nice increase 6% all channels in January. 16% outside of club. So we are seeing some strong momentum. We expect that to continue. Through and continue into you know, throughout Q2 and further into q into '8 into the second half. As we start seeing our growth drivers become more meaningful. And I think Megan, there was another question in there. Just the expanded shelf set. Any update you kind of have on that at at your largest club customer? Yes. So, you know, as as we said last last call, we expect that it would stay we still expect it to stay.
Megan Christine Alexander: Got it. Thanks, Darcy.
Operator: Our next question comes from the line of David Palmer with Evercore ISI.
David Palmer: Thanks. Good morning. I wanted to ask you about just assumptions and you know, going into the back half of the year or less. Three quarters of the year, I think your guidance contemplates mid to high single digit consumption going forward. And you know, you in January, I know people are gonna look at the most recent trends. It's more like mid single digits. In terms of consumption for Premier Protein. And in that month, you know, you could say that it's looking very promotional, not just by the competitors, but by Premier Protein Looks like it stepped up to 65% volume mix from 45% a year ago. So I'm wondering if you could help us, you know, work with the recent trend and think about why trends would be at or above this going forward. You know, what are your key assumptions going forward? It sounds like a couple new shakes in the back half. Would be one of them. Because I think people are gonna wanna understand your guidance and why that's, realistic. Thank you.
Darcy Horn Davenport: Yeah. It's a great question. So, as I said, I think we, you know, we expect consumption to improve in Q2 and further in h two. We said consumption in Q2 would largely track net sales. I do wanna hit your point. There is always weekly consumption noise. Depending on promo timing year ago this year, promos, weather, hard to track weekly, consumption. So I know it is the data we have, but it is just it's it's gonna be bumpy. And so what I would say just to to zoom out is that in Q2, we expect it our consumption to largely track net sales growth. We expect it to increase throughout the the second half as our growth drivers become more meaningful. I'll go through some of those kind of reasons to believe and why, you know, I believe we will see that increase, which is, first of all, distribution and merchant there's really three pieces. Distribution and merchandising, advertising, and innovation. So distribution and merchandising, it's already starting to build. That's what we're seeing in the consumption right now. We're seeing some good momentum starting with our mass partnership. But, also, we have displays in also other food accounts. So that will continue, the next kind Of pulse period is really Q4, but we have some small events also in Q3. The second one is advertising started in late December. You know, the new Go Get'em campaign is to drive household penetration and and relevance to kind of the mainstream audience. I love the campaign. It tested better than any other campaign that we've ever had. But that is a lag. It has a lag on consumption, meaning you know, call it a couple months before you start seeing it impact consumption. So that will more impact kind of the the the back half. And lastly, innovation. So we launched our coffee house already in mass. We are extending that to a club account this month. So that's exciting. That will start rolling out through to the other accounts throughout the year. I talked about some LTOs. That we have coming in that's new that always I mean, it seems like a small thing, but it always generates, a ton of excitement for consumers and, specifically, excitement for retailers because they know these things sell, and there is some bias for action. So we often get a lot of displays associated with the LTOs. And lastly, you know, I kinda teased this idea of a couple new lines And although they're later in the back half, Yeah. They're exciting lines. You know? One we are, you know, hitting kind of the higher protein levels And then the other one, which I was you know, purposely vague on, but it hits at it is a line of products that's just a completely different drinking experience than what we have as our in our 30 gram shake. So, again, lot of activity going on, and that's why you're gonna start seeing the acceleration in consumption, especially in back half.
David Palmer: Thanks for that. Passed on.
Operator: Our next question comes from Thomas Palmer with JPMorgan.
Thomas Palmer: Hey, it's Elsa on for Tom. So you've mentioned in the past that you'd expect some of these smaller brands that I've entered into the club channel to start filtering out, and I think you've already maybe seen that happen in some cases. Could you just give us an update on where that stands today? You know, are you still seeing more entrants coming into the channel, or is it starting to go the other way? Thanks.
Darcy Horn Davenport: Yeah. We are seeing, I think, there you know, with a category like this that has the growth and the potential that that we see It is expected to have, you know, more competition The way I have described this before, but it probably would be helpful to just hit it again The way we break down the category is we have about half the category of the leading brands, which includes Premier, Then about call it, 10% of the category are these insurgent and crossover brands, which is really what your asking about. And then about 30% of the category are declining legacy brands, which has been meaningful shared donors over over the years. There's an extra 10% that basically just follow the category growth. But in general, if you think of those three key areas, we the insurgent brands, much like other categories, like energy, there's just a lot of brands that come in and out. We're actively watching repeat rates. We have already seen you know, some brands not make it, especially in club. Because those thresholds are very high. And and so, yes, we've already seen kind of the shakeout. What I expect is that 10% of market share that we're seeing with Insurgent and Crossover brands. That will probably stick. It'll just be a different set of brands that are competing. So I would say that, yes, we're continuing to see kind of the shakeout We are just you know, we're watching. Remember, it this is where low household penetration category you can have, you can have multiple winners. And don't forget that there is kinda 30% of the category. That have been meaningful share donors and will continue to be.
Operator: Our next question comes from Jim Salera Stephens.
Jim Salera: Darcy. Hey, Paul. Good morning. Thanks for taking our question. Darcy, you you you called out, several of these challenger brands being more promotional. And I wonder do you have any data on the consumer shopping behavior any of these particular brands? The promo rolls off? Is there an instance where consumers are just really being attracted by kind of the prominence of the discounting, but once that's pulled away, they revert back to previous brands. Any commentary you can provide on that would be great.
Darcy Horn Davenport: Yeah. I know if I have data on that. I would just say we're watching it. I mean, here's what we do see. You know, we assumed, and I talked about it last call. Given, you know, these insurgent brands, they're going to spend to try to get their foothold in the category. So we knew that this next year, 26, it would be, you know, slightly elevated promotional spending. What I would say you know, what we're what we saw kind of year to date is frequency. So it's less about, like, more depth. It's more about just frequency of events. Especially in club. But also it we're seeing it in mass as well. So I would say, I mean, it's it's early. It's only a few months in. I think weeks we have conservatively embedded this higher number of events throughout the year. But I would say to have specifics about kind of what you're asking about bump and stick, I think, is what we call it internally. I don't think necessarily we have that data. But as you can imagine, we are watching it very closely.
Jim Salera: That's great. You. I'll hop back in the queue.
Operator: Our next question comes from Alexia Howard with Bernstein.
Alexia Howard: Good morning. Can I ask about diamond Ties? Specifically, what's driving the growth in the international market to be higher than expected? And then domestically, how are share trends, moving since the quite favorable consumer reports article about the fact that the brand does not have heavy metals in it to the same degree as the competition. Thank you, and I'll pass it on.
Paul Rode: Yeah. Darcy, I'll start with sanitizing and a few can weigh in on her second question. Dymatize International has been performing very well for a long period of time. We saw it really throughout '26 or fiscal twenty five where Dymatize performed well in a number of markets across the globe, Middle East, South America, you know, Central America. So it's performed very well. Have a great sales team, or a great management team over international. Have great distributor partners. Around the world. And so it's just continued to perform well. You may recall, we expected actually had a really strong Q4. We thought some of that was maybe a pull forward ahead of pricing, but Q1 actually came in better than we expected. And so that's why we now think that Q1 will stick, and we've raised our expectations a bit on international. But it's just the brand resonates I think the competitive set perhaps in the international markets is a little bit different, a little less intense perhaps than you see in The US. The shopping experience, I think it's still you know, a lot in specialty channel stores. Whereas I've obviously in The States, it's been pivoting towards online. And and, more in in some of the mass channels. But like I said, it's continued to perform well, and, we expect it to continue. You wanna take the second part of that?
Darcy Horn Davenport: Yeah. With regards to US share trends, I mean, it's pretty flat. So you know, we're basically growing with the category. I would just say that, you know, the challenge the brand is a really strong brand. And, yeah, nice to get some acknowledgment in some of this with some good PR. But it but there are challenges on way pricing. I mean, I know that Paul talked about it having some headwinds, but that's facing the entire category. So, you know, we've kind of pulled back on on support for Dymatize just to manage the p and l, candidly. So because the the way pricing is so high, But overall, it's a strong brand, well known, and holding share basically in in a growing category.
Operator: Our next question comes from the line of Yasmeen Deswande. With Bank of America.
Yasmine Deswandhy: Hey, guys. Good morning. I just had a bigger picture question. So in your slides, you talk about expanding your category definition from convenient nutrition to wellness. So is there any reason we should infer that there has been a change to your portfolio priorities or M and A priorities? As you you know, maybe look into expanding into these categories? Or is it, you know, or is it kind of holding as is? Thank you.
Darcy Horn Davenport: Yeah, Yasmin. So just let me just give you a little more context on the category definition change. So, you know, we do a pretty thorough category study with consumers. We the last one we did was I about four years ago. Our category has changed a ton since then. So when we did it, this last time, there were some new types of products that consumers put into this category. First of all, they don't call it convenient nutrition. They call it wellness. And so then we're gonna evolve the name. But other products like some you know, powder products, like hydration powder products, think protein coffee, different types of isotonic protein drinks, Even you've started to see, like, protein sodas around. So like, those types of product and expanded protein treats. So all of those things go into our category, which makes it know, increase about 10%, which is not insignificant. As far as your question around, does it change, you know, how we're thinking about you know, m and a and different things like that. I would say it absolutely I mean, we are a consumer obsessed company, so we are looking at what consumers want and how we can get incremental sales, whether it be through organic innovation, which are some of the things that, you know, we are really focused on internally. But, also, we obviously look at inorganic opportunity as well.
Operator: Our next question comes from Brian Holland with D. A. Davidson.
Brian Patrick Holland: Yeah, thanks. Good morning. Maybe just to clarify first, Darcy, high level, obviously, the consumption inflection second half December, January was not to where you thought it would be. And, obviously, you've explained some of the reasons that might be. So I just wanted to isolate and ask ask whether the mass merchandise mass retailer merchandising event whether that is performing to expectation and it was maybe impacted by like you said, the the lag in the rollout. Or what's happening in club or is competitive activity in that mass retailer where we're seeing a bunch of rollbacks, etcetera, is that weighing on the actual performance at that customer relative to expectations? And then second part of question, which I guess is kind of totally separate, but just sightlines into similar merchandising events here, as we look over the balance of the year that we can anticipate whether it's in close, which is obviously even a pressure point. Or elsewhere.
Darcy Horn Davenport: Okay. I'm gonna answer your first question, and I might you were going in and out a little bit, so you might have to repeat the second one. But let me hit the first one. So in the mass retailer, the delay the kind of delay was the biggest contributor to the softer consumption. Small impact from increased from competition? But the larger was the timing. And I would say now that we are fully set up, the event is is hitting our expectations. So, like I said, the the bigger you know, the bigger reason was just the the delay. So then your second question
Brian Patrick Holland: Yeah. I'm sorry. I I'll remove the headsets. Hopefully, this is clear. I apologize for any technical difficulties there. So just the second part of the question was, sightlines into similar merchandising events either at this mass customer or or other customers club, etcetera, over the balance of the year Now as we're, you know, just maybe one quarter in that that we that might similarly catalyze demand.
Darcy Horn Davenport: Yeah. We're in the process of if can imagine, I mean, we're on, Feb third, and we just kind of are seeing the kind of impact that it's having. So the team is putting together some materials, to go back in. Obviously, we already have line of sight to kind of our promotional plans. I think now what we're trying to do is going back in and making them bigger. Honestly. So coming with this information, showing what the potential is, showing pictures. Also, you know, I I don't I wanna hit this, like, execution because showing what great execution can look like for us because this execution is much better than we've ever had before. We haven't had these type of displays. We haven't had these type of single displays, and then having people you know, having you know, our brokers come in and making sure that it stopped. So we're now going out with this information and trying to make the the promotions that we have sold into bigger.
Operator: Our next question comes from Jon Andersen with William Blair.
Jon Robert Andersen: Hey, thanks. Thanks very much. Good morning. Just a quick one. It's kind of related to that last question, Darcy. I think on the last call, you mentioned real focus along with your your merchandising or broker partner. Securing displays for singles and entry price point multipacks. To what extent has that kind of played out the way you would hoped? I know ex the the mass delay, but more broadly, And are there incremental costs that that you as an organization have to absorb to kinda take on this new capability that would have a a longer term effect on profitability or margins in the business? Thank you.
Darcy Horn Davenport: I'll hit singles and and progress, and I'll let Paul talk about costs. Yeah. I would say it's early, but it's working. So, you know, I said in my remarks that singles in January were double what they were last year. So I think that it is we're getting these displays out there. We're getting trial. And you know, it is starting to work. But it's early. So I would just say that and we're we're learning, I ton. Learning you know, do do we need do we need people in the store restocking shelves more than we're doing it right now? Do we need them in certain stores in other regions and not in other So it is it is like a very steep learning curve. But it's exciting because I think the most important thing is the consumer pull, and we're seeing that. So we know we have the right product. We know we you know, this is we know getting out of the aisle is key. We know singles, for instance, will get will, you know, get new new trial from consumers in household pen. So now it's just about, you know, really quickly implementing these learnings.
Paul Rode: And then I'll pass to Paul and Cost. Yeah. You know, we talked about on the last call that we're obviously making significant significant investments this year, on promotions, merchandising, brand, you know, marketing, so all the brand investments. So, yes, there is some incremental cost to the merchandising. That we believe is obviously gonna help us build continue to build our sales growth and fuel this business. So there incremental, but that's all contemplated in our guidance. It's not a dramatic change on just the merchandising piece alone. There is some incremental cost.
Operator: Our next question comes from Kamil Gajrawala with Jefferies.
Kaumil Gajrawala: Hi. We're going you know, and I think you've mentioned it a few times as we're, you know, we're going into a major protein boom or trend, maybe bubble, whatever you wanna call it. And I guess I'm trying to work out with all your commentary around promotions and competition, does it feel irrational The big difference perhaps between energy drinks and maybe this category is category seems to be a lot more promotional than energy drinks are. And so I'm just wondering as as you see this race for protein, is it is it happening in a in a sort of a healthy way from a profit perspective? Or do you feel like there's some, you know, irrational actors and we just have to work through the process of them coming and going? Thanks.
Darcy Horn Davenport: Yeah. Great question. So okay. Let's get back. So the category actually is usually not that promotionally driven. Now I actually don't know that the energy. You probably know that better, but it's about 25 to 30% sold on deal. So and compared to, you know, a lot of other categories, in the store, that's pretty low. Having said that, this year is higher, as I've mentioned the reason. As far as rational actors, yeah, I would say that some of the insurgent brands are less rational. And I think that we expected some of that. Because they're trying to gain trial. And so they're going to be, you know, spending to do so. So I'll just give some examples. You know, in club, you know, there are these insurgent brands that are spending a ton of money on demos, on you know, promotion, displays, etcetera. I think that I think if you zoom out I do think this is kind of a point point in time. I do not think it is the new normal. I think part of it is what you referenced, which is it's like this protein craze, and it's like a lamp grab. I think that, you know, we fully expect that you know, once retail once retail is kinda consolidate around the best performing brands, this heightened promotion should eventually come down. But as, you know, I talked about reason why for narrowing the guide, was mainly because we're gonna expect it kind of frequency events especially by these insurgent brands will continue for the year.
Kaumil Gajrawala: Got it. Thank you.
Operator: Our next question comes from Robert Moskow with TD Cowen.
Robert Moskow: Hey. I was hoping to to to dig a little deeper, Darcy, into m and a. And just how the you and the board think about you know, risk and reward. So you you mentioned insurgent brands many times. Are any of them that you know, do do you think any of them will stand the test of time? And if so, you know, there is a there there there is it an example of this in the energy drink category with with two big energy brands merging and and creating some real distribution and and marketing synergies. Is there an opportunity for that to happen in the protein shake category as well?
Darcy Horn Davenport: Yeah. I think that yeah. There is a as you guys see, this is a super dynamic category. I don't think it's ever been as dynamic as it is now. So many, you know, new brands, new formats, kind of protein and everything. I think we are see there will absolutely be some winners and there will there's there are gonna be some brands that we look back on and don't even remember their names. So, you know, I think that we are watching We are paying attention. We are watching repeat rates. We are evaluating the kind of consumer metrics to see and and increment and interaction with our brands to see if there are any that we think would be interesting, you know, add ons to our business. We're always looking at both organic and inorganic growth. As far as, like, you know, a bigger some you know, something bigger. Hey. I I I would just say in any dynamic category, there is always opportunity.
Robert Moskow: K. Thanks.
Operator: Our next question comes from Steve Powers with Deutsche Bank.
Steve Powers: Great. Good morning. Darcy Paul. Thanks. I wanted to pivot back to some of the innovation that you tease, Darcy, but from a slightly different perspective. And specifically, as you as you do things like envisioning new shakes with more protein and and more notably the the different drinking experience that you referenced. I'm I'm just curious as to what extent you can leverage existing capacity for those initiatives. And any implications that may have on your ability to scale and distribute those those those new products quickly and smoothly or any, implications on up front profit margin contributions relative to the to the core? Thank you.
Darcy Horn Davenport: So from a distribution standpoint, well, let's go for capacity first, and I'm assuming you're talking about, you know, man capacity. It depends. So I think, you know, some of our innovation is absolutely leveraging our existing co manufacturers. But some of our innovation is looking at new co manufacturers. I think what is I think you know, exciting for me is you know, we have invested and built an incredibly strong operations function. We have, you know, a network of commands. We know every single you know, command that makes a protein type product. And so and we have a a team that is really good at start ups now. We've done a lot of them. So I think that, so some will use existing Some of them use new. As far as distribution standpoint, we will use existing We'll use our, you know, existing distribution for for all of the new products. I think as we as we go down the path of, you know, working on kind of a DSD solution, obviously, that would we would be able to, you know, sell these products in in those channels as well. But but right now, we are all about using our existing distribution channels.
Operator: Our next question comes from John Baumgartner with Mizuho Securities.
John Joseph Baumgartner: Good morning. Thanks for the question. Darcy, I'd like to stick with innovation. You know, historically, Premier has focused on flavors, and it's broadening now to protein content and these differentiated experiences you mentioned. But, you know, given your core consumer is this everyday type of consumer rather than someone who's maybe looking for something specialized or or premium priced. How do you think about the incrementality of this forthcoming slate of innovation relative to cannibalization of the baseline And then by product line, you mentioned the focus this year is support of Coffee House. To what extent do you plan to continue investing behind indulgence? Or is indulgence sort of deemphasized here as you support these two new lines or platforms? Thank you.
Darcy Horn Davenport: I think the consumer is evolving. So even the mainstream consumer. So I think this is where a portfolio is really helpful. So I think, you know, if you think of our 30 gram product, and all the different flavors are perfect for people just coming into the category. Then they start evolving and start looking for different things. I think some of the new innovation that we're coming with goes after an incremental as well as an incremental occasion. So, again, our innovation strategy is very simple. It's all about incrementality. So as from from a your second question just about coffee house and indulgence, they're very different. So I think, you know, indulgence has been very successful. And, you know, we just launched it a year ago. And it's been a strong a strong contributor. And it is really been mostly around incremental occasions And then, you know, Coffee House, is unique because it has it's kind of you know, flirting with the energy category a little bit with the caffeine equivalent of a cup of coffee. We've had a lot of success with cafe latte. This is kinda taking that, but but running with it. So, no, I it those they have two distinct positions within our portfolio and actually very little overlap.
John Joseph Baumgartner: Okay. Thanks, Dusty.
Operator: That concludes today's question and answer session. This will conclude today's conference call. Thank you for participating. You may now disconnect.